Operator: Welcome to the Range Resources First Quarter 2021 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. Statements made during this conference call that are not historical facts are forward-looking statements. Such statements are subject to risks and uncertainties, which could cause actual results to differ materially from those in the forward-looking statements. After the speakers' remarks, there will be a question-and-answer period. At this time, I would now like to turn the call over to Mr. Laith Sando, Vice President, Investor Relations at Range Resources. Please go ahead, sir.
Laith Sando: Thank you, operator. Good morning, everyone, and thank you for joining Range's first quarter earnings call. The speakers on today's call are Jeff Ventura, Chief Executive Officer; Dennis Degner, Chief Operating Officer and Mark Scucchi, Chief Financial Officer. Hopefully, you've had a chance to review the press release and updated investor presentation that we've posted on our website. You will find our 10-K on Range's website under the Investor's tab or you can access it using the SEC's EDGAR system. Please note, we'll be referencing certain non-GAAP measures on today's call. Our press release provides reconciliations of these to the most comparable GAAP figures. For additional information, we've posted supplemental tables on our website to assist in the calculation of EBITDAX, cash margins and other non-GAAP measures. With that, let me turn the call over to Jeff.
Jeff Ventura: Thanks, Laith and thanks everyone for joining us on this morning's call. The first quarter of 2021 saw Range make continued progress towards our key strategic objectives; improving margins through cost controls and thoughtful marketing, generating free cash flow, enhancing liquidity and extending our maturity profile, operating safely and efficiently and ultimately positioning the company to return capital to shareholders at the most efficient natural gas and NGL producer in Appalachia. I'll touch briefly on each of these before turning it over to Dennis and Mark to cover in more detail. I'll start with unit cost and margin improvements. Range's unit cost for the quarter were right on track and ahead of our expectations with G&A, LOE, exploration expenses and production taxes coming in at the low end of our guidance and expectations. Additionally, we reported a significant gain in our marketing activity for the quarter. As expected, GP&T increase versus the prior quarter but with more than offset by the significant improvements we saw in NGL and natural gas realizations resulting in vast improvements to Range's margins. In fact, Range's unhedged realized price for the quarter was approximately $3.20 per Mcfe which was $0.51 above the NYMEX equivalent price of $2.69. This premium to Henry Hub is a result of our diversified marketing portfolio and liquids production. This liquids uplift improves margins and reduces Range's breakeven cost when compared to producing only dry gas. In fact, Range's pre-hedged margin improved by over $1 per Mcfe in the first quarter when compared to the 2020 average. Given the improved fundamental backdrop for natural gas liquids with approximately 65% of our activity in the liquids rich window this year Range is very well positioned to continue to benefit from this dynamic. During the quarter, Range was also able to benefit from improved daily prices in the natural gas market realizing a natural gas differential that was $0.08 better than the midpoint of guidance only partially offset by higher transportation fuel cost again benefitting margins and cash flow. On the back of this improved pricing, Range generated $193 million in cash flow from operation before changes in working capital and with capital spending coming in at just $105 million for the quarter Range generated solid free cash flow. As shown on Slide 14, we expect this to continue with significant growth in EBITDAX this year versus last. When combined with absolute debt reduction this organic free cash flow generation puts us well on our way towards our longer-term balance sheet targets. Touching on the all-in capital investment of $105 million on the quarter it's clear that the team's operational execution was superb and we continue to find ways to lower cost once again leveraging our large contiguous acreage position to find ways to complete the operational plan with peer-leading capital efficiency. After delivering on operational plans below budget for the last three years. Range remains on track to do the same for the fourth consecutive year in 2021. The operational team safely delivered this capital efficient plan with an eye towards our long-term environmental goals. Range closed out 2020 with class leading emission's intensity reducing greenhouse gas emission intensity and putting us right on track towards our 2025 goal of net zero. As we strive for this goal, it all starts with efficient operations that minimize our operating footprint and importantly generates competitive returns. We believe Range is peer-leading capital efficiency and maintenance capital are key differentiators amongst peers. As was discussed in the past, Range's large blocky acreage position affords us operational and financial efficiencies on multiple fronts including water recycling, infrastructure, rig mobilization and uniquely [ph] optimization just to name a few. Dennis will cover a good example of how this combination and these benefit, benefit range from both an ongoing development in corporate return standpoint in addition to strengthening our environmental efforts. When combining our low well cost, strong recoveries and shallow based decline of under 20%. Range is operating at high level of capital efficiency that provides us solid foundation for generating sustainable free cash flow. What further differentiates Range is our ability to deliver this level of efficiency for an extended period of time given our multi-decade core inventory. For some added context on our inventory, Range is turning to sales approximately 60 wells this year but we have approximately 2,000 Marcellus locations with EURs that are greater than 2 Bcfe per 1,000 foot a lateral. The average recovery of these wells is very similar to the wells Range has turned to sales for the last several years providing Range an unmatched runaway of high-quality wells that's measured in decades. This is not the case for many of our peers, which we believe positions Range's wealth any upstream company to benefit from improving commodity price environment over the medium and long-term. Before turning to over to Dennis and Mark. I'll just reiterate that Range remains committed to sustainable free cash flow. Overtime, we believe Range will stand out amongst peers as a result of our low sustaining capital, competitive cost structure, marketing strategies and importantly our multi-decade core inventory life which will be increasing competitive advantage in the years to come as other operators exhaust their core inventories. We will continue to focus on safe, efficient and environmentally sound operations, prudent capital allocation and generating sustainable returns to shareholders. Importantly, these are all reflected in our updated compensation metrics that can be found in our most recently proxy statement. They've also been summarized in our company presentation demonstrating the alignment of our incentive programs with shareholders as we seek to continue our steady progress towards key initiatives. Over to you, Dennis.
Dennis Degner: Thanks Jeff. When we communicated the operational details for our 2021 program, our framework was built around improving both operational and capital efficiencies, enhancing margins all whilst driving to further improve our environmental and safety performance. As we look at our first quarter results. Our operating teams are off to a strong start delivering on our objectives for the year beginning with Q1 production above our communicated guidance and capital spending in line with our 2021 plans. First quarter capital spending came in at $105 million or approximately 25% of our 2021 program budget. As we discussed on the prior call, our capital spending program is front end loaded for the year and as a consistent approach from previous years. As we look forward, our second quarter capital spending is expected to be approximately one-third of the annual budget for the year mainly driven by activity timing for completions in turns in lines shifting to Q2. The reduced capital investment in the second half of 2021 are aligned with our activity cadence reducing to one drilling rig and one frac crew during the third and fourth quarter. Our first quarter production level of 2.08 Bcfe equivalent per day was a direct result of recent strong well results combined with exceptional fuel runtime for the quarter. Due in large part to the near flawless winter operations planning and execution by our production operations team. Underpinning our first quarter production including turning to sales 16 wells spread across our dry, wet and super rich acreage. Our Q1 turns in lines consistent of an average horizontal length in excess of 11,500 feet and added just under 200,000 producing lateral feet to Range's Appalachia assets. During the fourth quarter of last year, through the first quarter of 2021 our activity shifted towards wells located across our processable [ph] gas footprint. The result of these turn in lines increased Range's average oil production to a level exceeding 8,000 barrels per day in Q1 and has increased overall liquids production in similar level seen during the first half of 2020. This level of wet production contribution is expected to continue through the end of this year with second quarter production projected at approximately 2.1 Bcfe equivalent per day. This will position us to achieve our 2021 maintenance target of 2.15 Bcfe equivalent per day through additional margin enhancing liquids production while spending $425 million or less. Shifting to our operational highlights. During the first quarter, 15 wells were drilled across our dry, wet and super rich footprint. Four of these wells were in the top 20 lateral links for Range's Marcellus program history with all four exceeding 17,800 feet. Drilling efficiencies continued with nearly three quarters of new wells drilled on pads with existing production, coupled with a 5% increase in daily lateral footage drilled compared to 2020. On the completion side, 16 wells were completed during the quarter. Overall the team completed just under 1,200 frac stages while setting a first quarter winter operations efficiency record by averaging over eight frac stages per day. This efficiency level exceeds Range's previous best first quarter winter operations record by 14%. The water operations team built upon prior water recycling successes by utilizing nearly 2 million barrels of third-party produced water. A first quarter record and as a result reduced overall completion cost for the quarter by more than $4.5 million. Despite cold weather conditions and heavy snowfalls, the team produced some of our best operational results in our program to-date. All while keeping safety and environmental performance at the forefront. These operating expense for the first quarter was consistent with our prior year's Appalachia level and remained low at $0.09 per Mcfe equivalent. Achieving this LOE level is in large part due to a well-coordinated proactive winter operation plan with the objective of minimizing weather-related production impacts and associated cost. These efforts generated a field runtime that exceeded 99% with a weather-related production impact of less than half a million cubic feet per day for the quarter, a remarkable achievement. Looking at the operational successes and milestones achieved during the first quarter involves a focused, continuous improvement approach and it's anchored by four key areas. Range's water recycling program, long lateral development, utilization of existing infrastructure and lastly optimized use of drilling and completions equipment. Each of these are key drivers in delivering on our operational and capital efficiency and our integrated part of achieving our ESG or more specifically our environmental objectives. We often touch on the benefits each of these bring to our program ranging from a reduction in operating cost, efficiency gains, minimizing our environmental footprint and reductions in emissions. Today, I'd like to take a moment and walk through how these four strategies are being implemented by our operations and support teams along with the positive impacts. I'll use three of the wells that return to sales in the first quarter as an example. These three wells were drilled on an existing surplus location with producing wells that were originally developed and turns to sales in 2013. The average lateral length of the original wells was just over 3,000 feet per well. In stark contrast the average lateral length of the new wells is nearly 16,000 feet per well more than five times longer. No additional earth disturbance was needed for five times the acreage development and no additional production gathering in processing infrastructure was required to add these new wells. To put this into perspective, Range has close to 250 developed pads in Southwest PA and as of today, we return to 84 of these locations to drill additional wells. Additional wells are planned for these same pad sites along with the approximate other two-thirds of Range's pads that we've yet to return to for added activity. Simply put, we're only scratching the surface of this opportunity. The three new wells were completed late last year utilizing our contracted electric fracturing fleet which displaced 470,000 gallons of diesel fuel. This reduced our cost by approximately $300,000 per well along with large reductions at associated emissions. 40% of the water used to complete these new wells was recycled water from Range's producing well along with third-party water sourced from our water sharing process. The balance of the water was pumped from our water pipeline network which was installed nearly a decade ago. Further reducing emissions associated with truck traffic by more 13,400 truck trips. The average initial production of these wells exceeded 44 million cubic feet equivalent per day including more than 9,700 barrels per day of combined condensate and natural gas liquids per well. Placing them at the top tier wells in our Marcellus program history. This is just one of many examples we could share from our development during the past several years with results such as this. These efforts have underpinned our operational efficiency gains and give us confidence in the durability around keeping our drill and complete cost below $600 per foot, all while achieving our environmental goals and producing best in class wells. These benefits highlight the importance and value of having a high quality, contiguous acreage position and forward-thinking technical team. Before moving onto marketing, I'd like to touch on Range's environmental and safety performance to further reduce production facility emissions in 2020 Range transition to a quarterly leak detection program doubling the number of inspections conducted. As a result of this increased inspection frequency an additional 7,400 metric tons of CO2 equivalent emissions was removed from our program resulting in a 67% reduction for those related components. This effort along with the continued advancements in our production facility design and utilization of an electric frac fleet has resulted in further reductions and Range's reported emissions reaching a new low CO2 equivalent level. This level of performance is competitive with any natural gas play in North America that puts Range in an enviable position globally. Consistent with our environmental results, Range's safety performance saw similar improvements delivering and 30% improvement and recordable incidents for the quarter which was the best Q1 performance versus the prior five years. Switching to marketing, Range's NGL and condensate business benefitting from a strong first quarter. Market prices improved across the board and our advantage portfolio of contracts enabled Range to capture premium pricing and a pre-hedged NGL realization in Q1 that was the highest level since late 2018. The primary driver for improved pricing across both NGLs and condensate was strong demand and a market that saw decreased supply. Preliminary results for US propane and butane or LPG revealed that Q1, 2021 domestic demand was 13% higher year-on-year while supply decreased by 4%. Similarly, condensate supply in the Northeast is estimated to a decrease by 15% to 20% year-on-year. As a result of these improved fundamentals, the market average NGL barrel price improved significantly during the quarter and $24.83 per barrel. Range's Mont Belvieu equivalent was up 38% over the prior quarter and 83% compared to the first quarter of 2020. Propane prices led the way increasing nearly 60% versus the prior quarter and 140% versus Q1 of 2020. Additionally, Range's premium to Mont Belvieu equivalent barrel increased by approximately a $1.50 per barrel versus the prior quarter. As Range realized this is highest premium to Mont Belvieu in company history. Looking forward, we see propane and butane market prices continuing to post strong year-on-year gains as storage balances of these NGLs are much tighter relative to last year. This past winter, propane posted its largest seasonal withdrawal in well over a decade leading into March propane stocks at 33% deficit to last year and a 17% deficit to the five-year average. Given the strong international demand that we're seeing with new chemical capacity coming online and recovering global economies, we believe it will be challenging for propane to replenish US stocks to a comfortable level by fall. As a result, we expect propane prices to transact at levels at or above 60% of WTI crude this fall and the upcoming winter. On the commercial side, beginning April 1, Range entered into a set of new and diverse LPG export related contracts. These contracts will add flexibility, reduce cost and further enhance realized propane and butane prices continuing Range's momentum of achieving strong price premiums relative to the market. Finally, we continue to optimize Range's condensate sales portfolio by adding flexibility, improving margins and assuring product placement. As this year progresses and optimization continues via diverse set of counterparties, we expect that our condensate differentials to WTI will continue to improve further benefitting our liquids area of development plan discussed earlier in the call. On the natural gas side, cold weather during mid-Q1 equated to the third coldest February looking in the past 10 years. And despite milder conditions in both January and March, Q1 gas weighted heating degree days finished slightly above the five-year average. Through utilization of our diverse transportation portfolio Q1 resulted in a differential of $0.14 under Nymex included basis hedging. Looking ahead, we see potential for additional positive improvements for natural gas pricing. Given that high percentage of operators are targeting maintenance production levels this year coupled with year-over-year improvements in storage, the fundamentals point toward an under supplied natural gas market. Within this constructive outlook for natural gas, Range's on track with its differential guidance for $0.30 to $0.40 for the year. As we close out our operations and marketing updates. The first quarter results clearly reflect our operations are off to a strong start for the year. With the team further building on our operational and capital efficiency performance all while delivering on our environmental and safety objectives. I'll now turn it over to Mark to discuss the financials.
Mark Scucchi: Thanks Dennis. Consistent delivery on stated objectives that is Range's fundamental strategy and as you heard from Jeff and Dennis something the team successfully executed during the first quarter. Efficient operations delivering production, efficient drilling and completions activity with capital spending trending in line to better the budget, combined with margin enhancing expense management all resulted in significant free cash flow. Our ultimate goal is to repeat this quarter in and quarter out. Results for the first quarter reflect the benefits of reliable operations, productive wells and diversity in sales points for natural gas, natural gas liquids and condensate. Cash flow from operations before working capital was $193 million compared to $105 million in capital spending. Significant improvements and free cash flow compared to past periods were driven by a 50% improvement in pre-hedge realized prices per unit in production versus the prior year period which reached $3.20 per Mcfe at the first quarter. This realized price per unit is $0.51 above Nymex-Henry Hub driven by improved natural gas basis and importantly further enhanced by 77% increase in NGL price per barrel which reached $26.35 pre-hedged. Realized NGL price on an Mcfe basis equates to $4.39 per Mcfe and condensate realizations equate to $8.17 per Mcfe hence the realized premium to Henry Hub. Additionally, Range's NGL prices exceeded Mont Belvieu NGL barrel by $1.52 due to our unique portfolio of domestic and international sales contracts. Margin enhancing focused on unit cost is a constant state of mind for Range. Lease operating expenses declined over 40% year-over-year to $0.09 per unit on the back of consistent, efficient Marcellus operation despite the winter weather and the divestiture of higher cost assets. Cash G&A expenses declined to $28 million or $0.15 per unit in the first quarter. The decline results primarily from lower compensation cost of a leaner organization coupled with targeted value focused spending on IT, data services, safety, environmental and other essential areas. Cash interest expense was roughly $55 million. Higher interest expense is a result of our most recent refinancing activity which dramatically and positively reshaped the debt maturity profile of the company and enhanced liquidity. Gathering, processing and transportation expense increased. But it is important to keep in mind that this is a positive by product of strong NGL prices that resulted in significantly higher NGL margins. Recall that Range's processing cost is percent of proceeds contracts such that, we pay a percentage of NGL revenues as the fee. Consequently, a fraction of the material higher prices received for NGLs is paid as higher processing cost in that quarter. For perspective, an increase of $1 per NGL barrel equates to approximately $0.01 per Mcfe in cost. This structure is unique to range in the Appalachian Basin and is a right way risk arrangement that has led to reduced cost for several quarters and lower prices and now continues to drive material margin expansion. As a result of rising NGL prices in recent months, GP&T expense in 2021 is trending towards the high end of guidance. However this is more than offset by expected higher NGL revenue forecasted at current strip pricing relatively to earlier this year. Turning to the balance sheet, Range has diligently and successfully managed the debt profile such that liability management projects reduced bonds maturities through 2024 by almost $1.2 billion while at the same time improving liquidity to nearly $2 billion. During the first quarter, we issued new bonds due 2029 in the amount of $600 million which combined with the reaffirmation of our facilities $3 billion borrowing base and $2.4 billion in commitments provides substantial liquidity and a strong evidence of what we believe is durable asset value. Cash flows are expected to retire debt maturities in coming years and are back stopped by ample liquidity. During the first quarter we called in $63 million in near term maturities of senior and senior subordinated notes closing on the redemption in early April. There has been substantial improvement in the debt markets and it's evident in the trading levels of Range's bond that both access to and cost of capital has improved. Further debt retirement is expected to be funded primarily by organic free cash flow. We will be cost conscious and effectively managing debt retirement we're also being mindful of any potential refinancing risk of debt maturities. Being opportunistic in bond redemptions as prices in early redemption options become economic on a risk adjusted basis. Liability management over the last two years has as expected temporarily increased interest expense however this avoided much higher cost forms of capital that would have diluted shareholder ownership and participation in what we see as a steadily improving natural gas and natural gas liquids business. While we're proud of the steps taken today, further improving a balance sheet remains a principal objective. As can be seen in the recently filed proxy, leverage metrics have been incorporated into long-term compensation criteria with the target of 1.5 times debt to EBITDA or better. Shareholder value creation through the generation of free cash flow and its prudent redeployment is our focus. To be clear, we believe this is an achievable goal at current commodity prices by the end of 2022. Range's leverage is approaching target levels. On the topic of hedging, we have a glide path for common range in which we add positions over the course of the year. Within that path, we intentionally moved at a deliberate pace during 2020 as we added 2021 hedge positions. We plan to follow similar principles this year in adding hedges for 2022 and beyond. By that I mean, we'll seek to balance the twin goals of prudently de-risking cash flows while not hedging away the improved supply demand balance into back degraded price curves. Our strategic actions over the last three years have been focused on reducing risk while maintaining and enhancing the intrinsic value of the asset base. We believe Range holds the largest portfolio of quality, inventory in Appalachia. Exposure to that inventory on a per share basis has been preserved and enhanced by our actions. We believe steps taken represent a material progress in positioning Range as a more resilient business and as evidenced by first quarter results primed to participated improved market dynamics. Jeff back to you.
Jeff Ventura: Operator, we'll be happy to answer questions.
Operator: [Operator Instructions] our first question will come from the line of Josh Silverstein from Wolfe Research. You may begin.
Josh Silverstein: You mentioned on the 2022 outlook getting down to 2x leverage or below there by the end of the year. You mentioned the gas price and crude oil price assumption in there. Can you talk about what you're thinking about from an NGL price assumption standpoint? Should we still be thinking about like the 2.15 Bcfe a day and $425 million spend?
Mark Scucchi: Josh, this is Mark. I think the best place to reference is Slide 14 in the deck. I'll talk through some of the points you just made. As we've laid out to illustrate the cash flow generating ability to business and follow on the deleveraging power of businesses that stands today. There's chart in there, as you point out it gets us two or below three times leverage by the end of this year at current strip pricing and if you assume $2.85 natural gas, $60 oil price for next year which is really just moving back degradation of the curve that really is just doing a mirror of this year's curve, you get two trigger point below two times leverage type situation. The NGL assumption is roughly $25 per barrel in other words, if you just look at NGL strip pricing for 2021 that gets you to $24.80 give or take and you're carrying that forward into next year. So in essence we're not using an aspirational [ph] price deck here. We're just trying to mimic 2022 look like 2021. The assumption here in terms of capital is a flat spend at the maintenance type case. There's no further assumptions into additional efficiencies. This is carrying forward what the team is currently on track to achieve.
Josh Silverstein: Thanks for the clarity there. You had a $1.52 premium on your NGL price assumption for this quarter and I know you bumped up at the bottom end of the range. Through some strip pricing and the current portfolio that you guys have, any reason to think that we wouldn't still kind of be in that $1.50 range going forward and then maybe, just as it relates to 2022. Can you see that premium grow next year?
Alan Engberg: Josh, this is Alan Engberg, I manage the Liquids business for Range. Yes, we see that premium actually staying quite strong. As we noted in the call notes, we've put together a series of new contracts for our export business that diversify our portfolio and the portfolio that's pricing in way that maximizes prices. So we're actually bullish going forward that our premium actually improves and hence the guidance that we've offered out there $0.50 to $2 over Mont Belvieu win backs. There's a lot of new demand coming on both domestically as well as internationally. You've got organic growth in demand just from economies opening back up and GDP increasing that is as we slowly pull out of COVID on a global basis and then you've got a large amount of just new capacity for consuming NGLs coming online. For propane in particular, you've got about 125,000 barrels per day of PDH capacity coming on in Asia. Plus you've got new LPG crackers that'll add about another 50,000 barrels per day to global demand for LPG. And then in 2022, as you're asking the question we've got even - there's the build out continues we've got about another 110,000 barrels per day of new PDH demand still coming on, that's in North America as well as in Asia and probably about another 25,000, 30,000 per day of LPG demand from new steam crackers. So all in all, we're pretty bullish on the demand side and from the supply side we still see things kind of flat this year. You might have marginal growth although a lot of people are still predicting that we'll have a reduction in C3 plus supply. And similarly, in 2022 we might have marginal growth. But the balances that we're looking at all point towards a much tighter market going forward and that will add to demand for the products of US and given again the portfolio of contracts that I mentioned that we have, as well as our access to the exports docks and to some real good customers leads us to believe that our premium will continue to be quite strong.
Josh Silverstein: Got it, thanks Alan. Thanks guys.
Operator: Our next question will come from the line of Neil Mehta from Goldman Sachs. You may begin.
Neil Mehta: My first question building on the NGL fundamental question. Is any incremental color you can provide on LPG demand trends in Asia which seems to be an important part of driving that part of the barrel? And any more details you can provide on the LPG contracts that you announced to your - that can enhance your LPG pricing?
Alan Engberg: Neil, this is Alan again. So in Asia, I believe this year there's five new PDH units coming on, five or six. One of them is in Vietnam. The rest of them are all in China. Right there is we're saying it's about 125,000 barrels per day of incremental demand from those PDH units. Now there were new PDH units added last year that were still in the ramp up phase near the end of last year that add to it, what I would call the organic growth that we're seeing. So there's strong growth from new capacity coming on as well as, if you look at the chemical chain from - you go from propane let's say in an international steam cracker to ethylene, propane to polyethylene and polypropylene. The polymers actually are in short supply globally and as a result. The margins throughout that chain have increased significantly which gives good upside for feedstock crisis. But with economies coming back online there's some inventory replenishment that needs to take place as well as it's just going to be big GDP growth, that most analyst are forecasting. So with those two things, I think the pull is going to continue to be very, very strong from this new installed base capacity around the world as well as that new capacity that we pointed out. On the new contracts, really can't say too much more about them except for - we had a big contract that expired recently and it gave us the opportunity to put new contracts in place that really add to our flexibility and add to our capability to generate strong premiums relative to Belvieu and again that supports our view of having one of the highest premiums to Belvieu out of any producer in that $0.50 to $2 per barrel range.
Neil Mehta: Thanks guys and then second question is more of a big picture one. I would appreciate that, your latest thoughts on industry consolidation among the gas producers. Do you see opportunities for Range to optimize the portfolio either by selling assets or improving leverage through acquisitions?
Jeff Ventura: Well I might be able to double team this one, I'll start and then turn it over to Mark. I think and generally speaking, you've seen some industry consolidation on the gas side and I won't go through the transactions that occurred last year. But we all know what they are. And few of those were in Appalachia whether they were corporate or asset purchases. But it was consolidation. I think generally speaking, I think you'll continue to see that with time and then to the extent it made sense for Range. We'll consider whatever is best for our shareholders. But in terms of us consolidating clearly, we have a high hurdle rate and a high bar that we look at, what have to be in basin, accretive to free cash flow per share, deleveraging, allow us to maintain our peer-leading capital efficiency and decline rate. So we'll be extremely disciplined. We're fortunate and that we have as we've said decades that full [ph] inventory left to drilled. So we can stay focused on that. But if there's something that makes us a better, stronger company that checks several boxes it's something we would consider. Mark, you want to add to that?
Mark Scucchi: Sure. To join in - to add on to that. I guess taking a step back to what your rationale and your motivation is for either divestiture or consolidation. First on the divestiture side, are you trying to raise capital simply to redeploy that capital into better assets. In other words, you've hiving off lower quality assets? I would say, Range has done a pretty thorough job of that over the last several years and further we've reduced debt by a $1 billion. Near term maturities zero this year, $207 million next year, $500 million or so, the year after that. Ample liquidity, ample cash flow. We fully expect. So then you get to not - nice to have. But you also covered the need to have. There's no need to sell assets that what today would I suggest is, less than optimal price from what our high-quality asset in Range's portfolio. Northeast Pennsylvania, the Lycoming County assets specifically is a good cash flow generating assets for us. It's got good potential of going forward. So going back to the points we made earlier on a previous question with the deleveraging trajectory of the business again. When on a position where we're forced to do anything, we can stay focused on doing what is most economic for shareholder for value creation. So that it takes you, what's going to drive the most value? To Jeff's point, it's a pretty high bar but we do maintain financial and operating models on assets around us. It may sit that. We do deep dive into these to see what could accelerate deleveraging, what could reduce unit cost, what could expand margin, make a bigger business, overall reduce the cost of capital for business. So as we look at that and we also consider what the potential impacts are to NAV, given ranges depth of inventory that's really unrivalled. All that is to say, it's something we monitor and something we'll continue to be certainly open to and evaluate. But the other motivations for M&A frequently are to backfill your quantity of inventory which we don't need to improve the quality of your inventory again Range does not need to do that. To fix the balance sheet, I think we're on the right path and we'll continue to move very hard to move that forward as fast as we can. So again those boxes are pretty well checked. So the last is just to maximize value for shareholders. Again we're open to that and we'll continue to examine it. But I think the punch line here is, it's possible. It's a high bar. But we've got a great path in front of us as we're currently operating.
Neil Mehta: Thanks guys.
Operator: Our next question will come from the line of Kashy Harrison from Simmons Energy. You may begin.
Kashy Harrison: Dennis, quick clarification question. Did you say the lower capital in Q1 was mainly driven by timing shifts due to Q2 or are you seeing some improvements in capital efficiency that could bode well for 2021 CapEx?
Dennis Degner: Yes, good morning. Thanks for the question. I would say, it's a little blend of both. We continue to see further improvements in our efficiencies. I'll start from that standpoint. The team's made great progress. I think when you look at just the scenario that we tried to walk through and from a water recycling to drilling some of our longest and most efficient laterals. It's all translating into further improved cost. So we continue to see really good progress that we're proud of across the board and further staying below $600 per foot cost structure type level. On the other side though, we do have some turns in lines and a small amount of activity that would have shifted into the early parts of Q2. It's just a function of leading over from one quarter of reporting into another and on top of it. We tend to push some of our activity into we'll just lower favorable weather timeframe. So stuff that ultimately, it's like roadwork as an example. Difficult to do roadwork in the Northeast when it's freezing temperatures outside. So you'll see a slight uptick for Q2. But it still will be very much aligned with our efficiencies that we captured and also in line with we'll just some seasonality. But really off to really good start and look forward to seeing what we delivered for Q2.
Kashy Harrison: Got it. Very helpful. And then my second set of questions are for Mark. I was just wondering, how should we think about changes in working capital for 2021. And for dumb guys like us, is there a simple rule of thumb that we can think about to model the changes in working capital on a go forward basis, maybe based on balance sheet amounts to year end, just some help in working capital would be great.
Mark Scucchi: Sure, happy to. I think the change in working capital obviously [indiscernible] of about $77 million in the first quarter. But it's really fairly simple when we peel it back. So let me try to break it down into two pieces. First, prices went up so accounts receivable line up the month of March is billed within days after month closed and you collect by the 25th of month, so by definition higher prices. You're going to have a little bit of delay and the cash coming in the door to pay off that accounts receivable. So that $33 million so half of the working capital draw is simply due to higher prices. So to your question, is there a rule of thumb you'll kind of have to match each company a little bit? But if prices go up. It's going to be a working capital drawn and accounts receivable prices go down. You're going to have that come back again. On the other side of the balance sheet, accounts payable and accrued liability [technical difficulty] was a net $40 million drop. Half of that we talked about, that's retained midstream liability so there's your $27 million [ph]. The other relates to some periodic annual payment. There's certain expenses you pay in a single one sum over the course of the year. The Pennsylvania impact fee for example or when annual employee bonuses are paid. Those are one-time events over the course of the year. So that's the sum total of the working capital change for Q1 for Range. Again you just have to look back at kind of some timing, some seasonality and then changes in commodity prices as to how those might shape for each company over the course of the year.
Kashy Harrison: Got it. So the message here is that, as we look at Q2 through Q4. You probably lacking the speed, that magnitude of withdrawals you saw in Q1, is that fair?
Mark Scucchi: I mean it will reverse. You have the revenue coming in, absent prices running further on us, which would certainly be a welcome occurrence. There may be small one-off payments again annual expenses will go out. But no, we wouldn't expect the large one-off draws like this to be recurring. It's seasonal. It's lumpy periodically. But by definition working capital turns on you and comes back in overtime. One other point I would make it for the one-off payments like impact fee or again employee bonuses, those sorts of things. Those are expenses incurred over the course of the year. So as you look at our unit cost that's already been accounted for. These are not incremental expenses to add to any sort of breakeven calculation and we've obviously talked through the retained liability and that's just the world off what was already expenses, already accrued.
Kashy Harrison: Helpful. Thank you.
Operator: Our next question will come from the line of Scott Hanold from RBC Capital Markets. You may begin.
Scott Hanold: I could maybe ask a question on the capital spending. Can you give us a sense of like where your well cost before dollar right now? I think your guidance for the year is somewhere in that 550 to 575? Are you sort of at that range and can you give us a sense of where within that range you're and? Also as part of that, what are the service cost trend that you're seeing is there any kind of pressure that you're feeling at this point or is it somewhat benign?
Mark Scucchi: Good morning, Scott. I'll start with the service cost and then maybe double back to the capital spending. From a service cost perspective we go through a really thorough annual bid process with all of our service partners. A lot of them that we are using actually today are service providers that we've been partnering with for number of years, you can say in some cases in excess of a decade. And so part of that process is providing a trajectory of what activity we'll have in the upcoming year in allowing those service providers to secure their goods of materials and also resources to make sure they're going to help us deliver on the program. So we've locked in our prices as in a very nice way. We have seen some small fluctuations most of them have been really small and not impactful to our overall cost structure. Steel is a good example of that. I mean clearly, we're seeing some movement across the sector when it comes to steel prices. It represents around 5% approximately of our total cost and as we've talked about, I think in our prior call. We actually were able to secure casing for the first six months of the year in our tubular goods insulating us from some of those pricing increases. It's really nice especially as you think about our program being front end loaded and further managing any risk around that. When you couple that with the efficiency gains as the team continues to capture and again, I'll refer the example that we walk through in the prepared remarks. Our ability to further improve and get to that 570, 550 kind of range that you referenced is truly due to a multi-disciplinary approach and multiple aspects as for water recycling having the ability to reutilize part of our buried infrastructure that has been with us for a decade along with just efficient truck traffic use to get recycled water to our sites. We're drilling our best wells from an efficiency standpoint and as I touched on in the prepared remarks. Our Q1 frac efficiencies reached an all-time high and we still hedged the cold weather and snow is - as everyone knows on the call. So we're continuing to see that we're on a great start again for the year to meet these numbers and beat them. So we'll keep pushing through the year. But it's little early to say that we're going to be significantly below or providing additional guidance at this point. But we really see good strong efficiencies and feel at this point. We've managed through the service cost pressures pretty well.
Scott Hanold: Okay, I appreciate it and just to clarify again. The target range you gave of 550 to 575, are you within that range right now?
Mark Scucchi: I think it's fair to say that our guidance is unchanged.
Scott Hanold: Okay, fair enough and thank you for that. And just high-level strategic kind of question. Obviously, you discussed how natural gas is in a better position at this point in time, this year as well as NGL supplies which obviously makes it more constructive on the outlook. Strategically, how do you look at this in terms of like how Range reacts? I mean obviously the gas producers like some oil producers are taken more of a disciplined approach. But if we're getting tied on some of those inventories, heading into the winter. Certainly that creates a little bit of attention. Obviously, upside to commodity prices. But there's also a need to make sure there's ample supplies in the event of very cold weather occur. Can you just give us a sense of how do you balance that with - we're going to stay disciplined? We need to get debt down. But at the end of the day, the market may need some supplies and so how do you prepare for that?
Dennis Degner: I'll start off, this is Dennis. I think from a planning an execution standpoint. We always leave some flexibility within our plan to be able to move back to pad sites with existing infrastructure. It allows us to react when we need to. I think last year is a good example of that. We were able to move some of our activity in a way where we continue to maximize utilization of our infrastructure, pull some of our dry gas, turns in lines a little bit more forward in the progress especially as we saw impacts of COVID-related scenarios on refining along with liquids production. It allowed to push those the liquids turn in lines later into the year to now be advantaged to what we see in the commodity price environment. So the planning team did a really good job there. As you think forward, we're staying the course from a maintenance level program perspective. If you look at where the commodity strip is at this point in time. It's really not incentivizing any growth. So from our view, I think as Mark touched on earlier as part of the 2022 leverage discussion. It's really about staying the course from a maintenance level production standpoint and then seeing what truly materializes for 2022 and how that would change the various scenarios in house that we would run to capitalize.
Mark Scucchi: And I'll join Dennis reiterating that maintenance capital for the time being. I think the underlying question, a follow-on question could be, what might motivate the company to increase the capital spending? And I'll say that unless Range sees a change not only in the price but the duration of that price change, persistent change meaning a change on the shape of a forward curve, something three, four, five years of duration where you can hedge in to ensure the return off and return on capital for shareholders of that incremental capital spending and that would occur when there is a clear and persistent supply demand call on the market for Appalachia to growth reduction. So we're going to be very disciplined in that respect. We're going to be very mindful of both in basin and broader lower 48 market conditions and the fundamental returns on capital to shareholders. We certainly have the capacity. We've got the inventory. We can do that. But to focus on harvesting the value of the inventory and maximizing the cash flow. With the first priority and the call on cash to Range being to position balance sheet. So we've got a fair amount of flexibility there to operate this business and strong free cash flow environment as we see prices this year in the current strip and you can see the scenario, we've laid out for 2022, approaching our leverage targets by the end of the year. So that leads you to again capital redeployment. Is that a drill bit or is it a return of capital program for shareholders? I think as you've got clear line of sight to your target leverage levels and persistent free cash flow that return of capital and the framework Range would use, that becomes the topic of conversation.
Scott Hanold: Appreciate the color. Thank you.
Operator: And our next question will come from the line of Noel Parks from Tuohy Brothers. You may begin.
Noel Parks: So I was intrigued by your last discussion. So it always seems that the strip and how - it's been pretty apparent that the liquidity beyond the early years is challenging. I mean, I'm not thinking so much about a scenario where you could see three, four, five years of strength in the strip it seems pretty resistant to building in that sort of time value into it. But I'm thinking more about a scenario where say post-COVID strong industrial demand, you have a six-month period or a one-year period where say we're solidly into three's and even if the strip as a whole doesn't make that huger leap. I'm curious, what's the success you've had in your planning group. Do you consider a scenario where you have a limited ramp up for a period of time and then sort of returning down to your current really fine-tuned level of operation with just a confined number of rigs?
Jeff Ventura: I think in that scenario you just described what that means to Range is, it's just more free cash flow. That's a short-term objective. We'll stay disciplined. You got to remember the wells have 50 plus year life and granted the MPV it's mainly over the first five or 10 years. But to react to six to 12 months signals just means more free - we won't it'll just mean more free cash flow to Range.
Noel Parks: Fair enough. And I was wondering, do you have any sense of any regulatory loosening maybe on the state level to support. I'm thinking about midstream in particular. [Indiscernible] input to energy generation that is considered creating fuel cells, hydrogen and so forth. Is there anything on the state front happening you think you could indirectly benefit half way to producers?
Jeff Ventura: I think at a high level, you think some constructive things like from Senator Joe Manchin wrote a letter to the President supporting Mountain Valley and the importance of the gas industry clearly Manchin is an influential clean Senator and the really the swing Senator at this point. So I think natural gas being a cleaner fuel. US has an abundant supply of. But I think it will be an important part of the energy transition and I think that will curve over long time. We're well positioned we have slides in our deck and there's bunch of third-party work that really when you look at emissions, natural gas it's ahead of the class Appalachians. It's ahead of the class of natural gas and we're in the core of that and leading the way on the emissions front. So I think it is being embraced again just referencing Senator Manchin. But there's a lot of people that are supportive of gas in the area, trade unions are very supportive of gas and it actually pulls well in the state. It was a key issue in the last Presidential Election and really both parties supported development of gas in Pennsylvania and Appalachia.
Noel Parks: Great, thanks a lot.
Operator: Thank you. We're nearing the end of today's conference. We'll go to David Heikkinen from Heikkinen Advisors as our last question. Your line is open.
David Heikkinen: As I think about your free cash flow is really improving and it sounds like you're offsetting inflation with efficiency. So as you head towards the $550 per foot range and you maintained $400 million of capital. You'll actually get more wells drilled and so I'm just trying to think through, Jeff you hit on the sufficiency gain that just keep happening, longer laterals that you're moving beyond the $12,000 a foot. There's like this toggle of more cash flow that can come just from the higher level of delivery per well and then even a profitability for a slight uptick in wells with the same number of capitals? This is a longer-term thing because I know you're focused on the balance sheet and the $400 million phase. Should we think about almost like a base level of acceleration that Range has latently with efficiency?
Jeff Ventura: Well I mean and other way to look at it is, back to just generates more free cash flow. In scenario you described for as Dennis and the operational teams doing a great job leading lowest cost drill and completing the basin and really historically it's been getting better, a little bit better over a year. It just means for capital efficiency. We're already the most capital efficient operator in Appalachia whilst to stay there. We need to generate more free cash flow, that's what I would say.
David Heikkinen: And once you pick more balance sheet. Yes, what do you do with the free cash flow once you get below the two times? I guess dividends come in, variable dividends or do you just let a little more volumes flow.
Mark Scucchi: Yes, I think that's a good question and I'll point you in part to the proxy. The changes in executive conversation provides a decent directional sense of what the board and we as management intent to do with this business. So long-term performance shares are key to off debt to EBITDA that's primary concern of investors these days and now of course. So the threshold being at or below two times target at or better than 1.5 times, excellent being at better than 1 times. So what you'll see us do is as leverage approaches that two times and you've got clear line of sight, to do better than that on a sustained basis then I think we can be crystal clear with what framework, we and the board approves as far as return of capital. So that I think in this business is as is, by definition a cyclical business. You need some sort of variable component. I think the combinations of six dividends, variable dividend and/or share repurchases. It's a mix of those and I think as we again have clear line of sight to being with this target leverage ranges that's when we'll put something more definitive out there. But the plans that have been discussed by other producers make sense in broad strokes. It would be some combination of those with some guard rails if you will on cash flow reinvestment into business to give you the sense of - there's no return to the 20% growth days. If and when five-year curve, it is above some level that incentivizes some very low single-digit growth which we can, then there's still going to be guardrails on that. The balance sheet first, return of capital and then sustaining CapEx and then some very modest reinvestment, if and only, if and when growth is clearly called upon fundamental supply and demand in the market.
David Heikkinen: [Indiscernible]
Jeff Ventura: [Indiscernible] you want to call it that.
David Heikkinen: Your three-year performance period looks like you guys have set up to hit here 1.5 times pretty reasonably so. If you can get to one times, that 200% payout looks pretty appealing. So good luck.
Jeff Ventura: Thank you.
Operator: Thank you. This concludes today's question-and-answer session. I'd like to turn the call back over to Mr. Ventura for his closing remarks.
Jeff Ventura: I just want to thank everybody for taking time to listen to the call this morning and for the people that asked questions, feel free to follow-up with additional questions. Thank you very much.
Operator: Thank you for your participation in today's conference. You may disconnect at this time.